Andrea Guo - IR Counsel:
Robert Niu - CEO:
Cindy Zhang - CFO:
Operator: Hello, ladies and gentlemen, thank you for standing by for Bright Scholar's Second Quarter of Fiscal Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management’s remarks, there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the call over to your host from Piacente Financial Communications, Andrea Guo, IR Counsel for the company. Please go ahead, Andrea.
Andrea Guo: Thank you very much. Hello, everyone, and welcome to Bright Scholar's earnings conference call for the second quarter of fiscal 2025. The company's financial and operational results were released earlier today and are available online by visiting the IR section of Bright Scholar's website at ir.brightscholar.com. Please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of The U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may materially differ from today's views. Further information regarding these and other risks and uncertainties is included in the company's prospectus and other public filings as filed with the U.S. SEC. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Additionally, Bright Scholar's earnings press release and this conference call include a discussion of unaudited GAAP and non-GAAP financial measures. Bright Scholar's earnings press release contains a reconciliation of the unaudited non-GAAP measures. Please also note that all numbers are in GBP. Participants on today's call will include Bright Scholar's Chief Executive Officer, Mr. Robert Niu, who will provide a company overview and update on strategic initiatives with highlights from the quarter. The company's Chief Financial Officer, Ms. Cindy Zhang, will then provide details on the financial results for the period. We will then open the call for questions. I will now turn the call over to Bright Scholar's Chief Executive Officer, Mr. Robert Niu. Please go ahead, sir.
Robert Niu : Hello, everyone, and thank you for joining us on today's call. We are pleased to report that Bright Scholar delivered solid Q2 quarterly results, demonstrating our resilience in an evolving external environment. During the quarter, we made meaningful progress executing our dual-engine growth strategy. Under this plan's dedicated initiative, we expanded our Schools business and advanced our global recruitment efforts for international students. As a result, our Schools business remained consistent with the total enrollment holding steady year-over-year at 2,699 students as of March 31, 2025. Moreover, we also received strong 14.2% year-over-year improvement in revenue per enrollment at our U.S. schools in this fiscal quarter. Meanwhile, our global recruitment initiatives maintained strong momentum across existing markets, building a sustainable pipeline for expansion. As a leader in premier international education, we remain committed to delivering exceptional learning experience while enhancing operational efficiency and growing our global footprint to drive sustainable long-term value. Importantly, we've made significant strides in optimizing operations, achieving year-over-year reductions in SG&A expenses. With our established global network and the ecosystem, we are well-positioned to accelerate revenue growth and create lasting value for both customers and shareholders over the long-term. The Schools business remained our primary revenue source this quarter, accounting for around 61% of our total revenue. Despite macroeconomic headwinds, including the impact of VAT policies in the UK, stable student enrollment year-over-year demonstrates the resilience of our diversified portfolio by optimizing operational efficiency and maintaining rigorous academic standards with mitigated external pressures while continuing to deliver high quality education. During the quarter, our U.S. schools set new benchmarks for excellence by delivering outstanding results across both academic and extracurricular domains. On the academic front, our CATS Academy Boston students have already secured over 100 acceptance from top tier universities around -- across the U.S, Canada, and the UK, with more expected as the admission cycle continues through May 2025. This early success underscores the strength of our college prep programs beyond academics. We are equally proud of our students' remarkable achievements in athletics. I'm also delighted to share our own CATS Boston student athlete, Jaylen Harrell, was named as the Gatorade, Massachusetts Boys Basketball Player of the Year for the second consecutive year. This honor has previously been awarded to legends like LeBron James and Jason Tatum, and recognize Jaylen's unparalleled talents, academic dedication and community leadership. Back-to-back wins are exceptionally rare to maintain CATS Boston as a hub for nurturing future champions. Furthermore, our CATS Boston Academy has been ranked number five nationally in the 2024 to 2025 prep programs ranking by NEPrepBasketball.net, further validating our leadership in combining elite athletic programs with world class education. Together, these achievements underscore the significant progress we've made in our U.S. Schools business this quarter and how we are fulfilling our mission to develop well-rounded global citizens. In the UK, our schools have delivered exceptional university placement results that solidify Bright Scholar's reputation as a premier pathway to global higher education. Across our UK boarding schools, students have received offers from 8 of the top 10 UK universities according to QS 2025 ranking. Including prestigious institutions like Cambridge, UCL, and Imperial College London, a significant cohort of our students has also earned offers from top 100 global universities with applications extending across Europe, Asia, and the United States. What makes these results particularly remarkable are the perfect records we have achieved at specific schools. At the Michaels, we maintained a flawless 100% Cambridge acceptance rate this year with all tree interviewed students securing admission invitation. Similarly, CATS Cambridge has now achieved 100% Russell Group University offers for its A-level students for two consecutive years, marking an exceptional -- marking an extraordinary accomplishment that puts our students in the company of the UK's academic elite. These outstanding outcomes not only demonstrate our consistent ability to prepare students for the world's most competitive universities, but also validates our position as a truly global education provider capable of opening doors to top institutions across continents. In addition, our global recruitment efforts gained further traction across key markets, enhancing our pipeline for future growth. Early indicators show strong demand for our programs, particularly in markets valuing our Western curricula and university pathways. We're also leveraging our partnership with local institutions to amplify our presence, ensuring sustainable growth in new geographies. Looking ahead, Bright Scholar remains focused on executing our dual-engine growth strategy to drive excellence in our Schools business while expanding our global footprint in recruitment to serve more students planning to study abroad. Our strong academic results, coupled with operational resilience, position us to capitalize on the growing demand for premier international education. We are confident in our ability to deliver stronger value -- stronger long-term value to students, families and shareholders alike. With that, I will turn the call over to our CFO, Ms. Cindy Zhang, who will discuss our key financial results. Please go ahead, Cindy.
Cindy Zhang : Thank you, Robert. Now I'd like to discuss our financial results for the second quarter of fiscal 2025. Please note all amounts are in GBP unless otherwise stated. We are pleased to report a strong financial performance in Q2 fiscal year 2025 marked by significant improvements in profitability and operational efficiency, while maintaining stable year-over-year revenue, we achieved a 6.2% increase in our Overseas Study Counselling business revenue demonstrating the resilience of our diversified model. Amidst ongoing external challenges, we successfully reinforced the reliance [ph] of our global with our Schools business while making sustainable operation improvements. Our focused cost optimization initiatives drove a 13.7% reduction in SG&A expenses year-over-year and improved the SG&A to revenue ratio by 1.2 percentage points. Notably, our net income from continuing operations increased by over 200% percentage year-over-year. Looking at our financial results for the second fiscal quarter in more detail. Our revenue from continuing operations was GBP43.8 million compared with GBP48.5 million for the same quarter last fiscal year. By segment, our Overseas Study Counselling increased by 6.2% to GBP11.9 million. Schools and Other revenues were GBP26.6 million and GBP5.3 million respectively. Gross profit from continuing operations was GBP13.2 million compared to GBP15 million for the same quarter last fiscal year. Gross margin from continuing operations was 30% compared with 30.8% for the same quarter last fiscal year. Adjusted gross profit from continuing operations was GBP13.2 million compared with GBP15.1 million for the same quarter last fiscal year. SG&A expenses from continuing operations decreased by 13.7% year-over-year to GBP11.2 million. The decrease was mainly due to the improvement in operational efficiency in our Schools businesses. Adjusted EBITDA was GBP3.1 million compared with GBP3.6 million for the same quarter last fiscal year. Now turning to profitability, we recorded a net income of GBP3.2 million increased from GBP0.3 million for the same quarter last fiscal year. Adjusted net income grew by 179.5% to GBP3.5 million compared to GBP1.3 million for the same quarter last fiscal year. Moving to our balance sheet. As of February 28, 2025, we had cash and cash equivalents and restricted cash of GBP46.3 million compared with GBP54.3 million as of August, as of the end of last fiscal year. In conclude, our second fiscal quarter performance is in line with our expectations. Our proven academic outcomes combined with strategic expansion reinforce our confidence in delivering sustainable long-term growth. We remain committed to empowering students worldwide and creating values for all stakeholders. Okay. This concludes all our prepared remarks today. We will now open the call to questions. Operator, please go ahead.
Operator:
Andrea Guo: Thank you once again for joining us today. If you have further questions, please feel free to contact Bright Scholar's Investor Relations through the contact information provided on our website.
Operator: This concludes this conference call. You may now disconnect your line. Thank you.